Operator: Good afternoon and welcome to the Curaleaf Holdings Inc., Third Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note that the event is being recorded. I will now like to turn the conference over to Camilo Lyon, Chief Investment Officer. Please go ahead.
Camilo Lyon: Good afternoon, everyone and welcome to Curaleaf Holdings third quarter 2023 conference call. Today we're joined by Executive Chairman, Boris Jordan; Chief Executive Officer, Matt Darin; and Chief Financial Officer, Ed Kremer. Before we begin, I'd like to remind everyone that the comments on today's call will include forward-looking statements within the meaning of Canadian and United States security flaws, which by their nature involve estimates, projections, plans, goals, forecasts and assumptions, including the successful integration of acquisitions, and are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements on certain material factors or assumptions that were applied in drawing the conclusion or making a forecast in such statements. These forward-looking statements speak only as of the date of this conference call and should not be relied upon as predictions of future events. We undertake no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable law. Additional information about the material factors and assumptions forming the basis on the forward-looking statements and risk factors can be found in the company's filings and press release on SEDAR and the Canadian Securities Exchange. During today's conference call in order to provide greater transparency regarding Curaleaf's truly operating performance, we will refer to certain non-GAAP financial measures and non-GAAP financial ratios that involve adjustments to GAAP results. Such non-GAAP measures and ratios do not have a standardized meaning under U.S. GAAP. Any non-GAAP financial measures presented should not be considered to be an alternative to financial measures required by U.S. GAAP should not be considered measures of Curaleaf's liquidity and are unlikely to be comparable to non-GAAP financial measures provided by other companies. Any non-GAAP financial measures were referenced on this call are reconciled to the most directly comparable U.S. GAAP financial measures under the heading reconciliation of non-GAAP financial measures in our earnings press release issued today and available on our Investor Relations website at ir.curaleaf.com. With that, I'll turn the call over to Executive Chairman, Boris Jordan. Boris?
Boris Jordan: Thank you, Camilo. Good afternoon, everyone, and thank you for joining us to discuss our third quarter 2023 results. During the last four years we completed 14 acquisitions and those transactions have been central to helping us achieve our stated goal of establishing Curaleaf as the world's leading cannabis company. Throughout 2023, the company has been focused on improving efficiency metrics and dialing in operations to maximize its existing asset base. We have taken significant steps to eliminate redundancies to strategically reduce headcount, excellent profitable markets, most of these actions occurred in the first half of the year and in the third quarter, we took the final steps in our asset optimization plan. Specifically, we have reduced duplicative facilities in Nevada from three growth sites to one facility. We have exited low margin low growth operations in Michigan and Vermont. We have shuttered our legacy Kentucky research facility and consolidated R&D operations to Massachusetts and the U.K. These were difficult decisions, but I'm confident that they will better position Curaleaf for strong consistent financial results going forward. In total, these actions resulted in a 22 million non-cash impairment charge year-to-date, we have eliminated an additional 100 basis points of margin drag from rationalizing non-core markets and assets. Moreover, we have reduced total headcount by 18% in the last 12 months, while automating manufacturing processes in our Tier-1 facilities. These initiatives are yielding 90 million in annualized expenses. While the impact of these actions has not yet fully flowed through our P&L, they are already bearing fruit as evidenced by our 24% domestic EBITDA margin. And I expect continued improvements throughout the year end and into 2024. I'm confident that our current 17 state exposure gives us the right domestic footprint and a presence in key markets that we expect will drive outsized growth over the next several years. We are now positioned to achieve our profit goals, and I do not proceed any further state exits. With that, let's discuss our third quarter results. We reported revenue of $333 million, which excludes 3.5 million from operations we discontinued in the third quarter. On a comparable basis, quarterly revenues were up 2% versus last year $326 million sequentially, revenue was done less than 1% and the deliberate actions we took to rationalize lower profit, SKUs and reduce overall promotional activity, while emphasizing first-party product to reduce inventory. While this effort which began in quarter two and carried over into quarter three tempered our top line, it was necessary to set the business on a better course for growth and profitability going forward. With these changes behind us, we expect to see a resumption of sales growth in quarter four and into 2024. Adjusted gross margin was 46%, up from 45%, in the second quarter, margins benefited from lower discounts, and a more profitable mix of SKUs. But we're also negatively impacted by our decision early in the year to idle growth capacity in some states to better balance our inventory with demand. This under-utilization hurt our margins by 400 basis points in the third quarter. That said with most of this inventory, right-sizing now behind us, new revenue catalyst emerging and pricing stabilizing, we are selectively adding capacity to meet the accelerating demand in several markets, and thus expect to recover this loss margin over the coming quarters and are targeting our normalized gross margin to exceed 50% adjusted EBITDA margins of 23% of 100 basis points versus quarter two, despite 150 basis point drag from our international operations. Overall, we reduced inventory by another 18 million and ended the quarter with 118 million in cash, while generating 33 million in free cash flow from continuing operations. I'm pleased with how we are able to transform and improve our operations but we are striving for more. To propel our growth and margin expansion wishes, we have implemented a decentralized regional reporting structure with the goal of empowering our team members on the ground with greater control over their markets. This organizational realignment, which comprises four domestic regions plus International has already resulted in improved communication among the key functional groups. It is also sped up our decision-making such that we are better able to respond to dynamic local market changes of staying closely attuned to the needs of our customers. We have already begun to see the benefits of this realignment, including an improved retail product assortment, enhanced third-party buying and increased wholesale profitability. This was evident in September, which was our strongest month of the quarter, and we remain encouraged as quarter four is off to a solid start as well. thinking globally and acting locally. This is the mantra we have embraced. And this is how we will win now in the long term domestically and internationally. Federal legislative progress continues to grind forward on multiple fronts. We remain optimistic that the DEA will support the HHS recommendation to move cannabis to Schedule 3. This will eliminate the onerous 280E tax provision and procurement would result in cash tax savings of at least 150 million this year. We also continue to believe that there's a path forward for the passage of Safe Banking Act. But these last few weeks have only confirmed how difficult it can be to predict the timing of an outcome in DC, particularly during this current period of heightened geopolitical tensions. Our international business continues to be robust and then the third quarter revenue grew 120% versus last year, driven by strength in both Germany and the U.K. We continue to expect the Bundestag to finalize the proposed pillar one expansion on the German medical market over the next few weeks and expect implementations in early 2024. With its population of 84 million people, Germany is poised to be a significant growth catalyst for Curaleaf for years to come. The nascent U.K. market continues to perform well for us and we are increasingly leveraging our number one share position to educate consumers on the benefits of cannabis. More recently Poland with its population of 41 million people is becoming a burgeoning medical cannabis market in which we are leveraging our scale and leading presence to be a major supplier in that market. Domestically, we are optimistic that New York cannabis program will start moving forward again and that we will enter the wholesale market this quarter and be permitted to open our first adult use dispensary by yearend New York is our home state and I believe will be a five to $7 billion opportunity over time. Curaleaf was a dominant market share in the current medical market and we will build off our existing presence to be a major player in the adult use market as well. Also, Ohio shows great promise for us after its citizens made it the 24th stage is to end cannabis prohibition by voting to legalize adult use cannabis. As a reminder, we already have two Ohio stores, four more in the pipeline. We will be prepared for when $4 billion state market opportunity transitions to adult use. We remain focused on expanding our investor base by improving access to our shares. To this end last month, we formally applied to list on the Toronto Stock Exchange after completing the required equity offerings, which we raised CAD 16 million. Our legal team is working throughout the final stages of the approval process, and we remain on track to uplift this quarter. Listing on a major exchange, TSX will help with custody issues allowing for broader institutional involvement. It should also help improve trading volume and this increase liquidity should help to lower the volatility in our stock, which will benefit all of our stakeholders. Finally on guidance, as I mentioned earlier trends improved throughout the quarter with September being the strongest month. The fourth quarter has also gotten off to a solid start. That said we continue to take a prudently measured stance on global geopolitical risks and pressures on the consumer have become more elevated. For quarter four, we expect revenue to be up slightly from the third quarter. For the year, we expect revenue growth of approximately 5% versus comparable 2020 to revenue of 1.275 billion, the upper end of our guidance range of low to mid-single digit growth. We continue to expect full year EBITDA margin to come in around 23% consistent with our prior guidance of low end of mid 20s percent. In closing, I would like to thank all of our hardworking Curaleaf employees. It is the effort and dedication of our 1000s of team members that gives our customers a great experience in our stores and allows us to offer the widest selection of innovative, safe and high-quality products. The heavy lifting is behind us and with growth catalysts of New York, Germany, Ohio and wholesales coupled with margin expansion. From improved capacity utilization, and a cleaner inventory position, we will enter 2024 from a position of strength. With that I'll turn the call over to CEO, Matt Darin. Matt?
Matt Darin: Thanks, Boris. For the past year, we have been focused on optimizing our asset base, along with significant reductions to our expense structure. We scaled back production these past two quarters to accelerate the right-sizing of our inventory to align with demand. Given the progress we've made on both these fronts, coupled with new wholesale growth opportunities in New Jersey, Illinois, Arizona, and our forthcoming entry into New York's adult use market, we are turning on idle capacity and are back on offense. This will benefit both our sales and gross margin as we increase our utilization metrics. In the third quarter, our U.S. retail business was down 1% sequentially from the second quarter. Digging into our consumer metrics, demand remained solid as transactions were up 2% sequentially, and AUR was up 4% helped by reduced promotional activity, as we anticipated our SKU rationalization efforts and lower discounts offset our pricing games but drove improved retail gross margins that expanded 70 basis points. Price compression has been a key topic this year. Last quarter, we began seeing green shoots, and those green shoots continue to emerge in the third quarter. In fact, pricing in our retail stores was up in 10 of our states compared to four last quarter. While there continued to be reasons to be cautious, both geopolitically and industry specific, we are optimistic that price declines appear to have bottomed last quarter, voting well for the fourth quarter. Similarly in wholesale revenue was flat from Q2, however, our gross margin improved by 400 basis points as we eliminated low margin products and markets. We bolstered our wholesale team with new sales leadership while also adding field marketing resources to expand the reach of our brand portfolio. We are investing across all aspects of this important revenue channel including improved flower diversity, product quality and new product launches. Our wholesale business is well positioned to grow this quarter. The standout states in the third quarter were Maryland and Florida. Our Maryland team had a highly successful adult use conversion driven by flawless execution on opening weekend, everyone from planning to cultivation to marketing, to our retail and wholesale teams came together to welcome the communities around us into our stores and House of brands. As a result, we saw robust triple digit growth out of the gate on July 1, strength that continued throughout the quarter. After a soft Q2 in Florida, we stabilized the business and returned it to growth in the third quarter new product launches coupled with reduced promotions contributed to a mid-single digit increase in both transactions and AUR. Consumers responded well to an improved product assortment in all three major categories of flower, vapes and edibles. In fact, our focus on flower quality and diversity of strains on our menus has been getting positive attention amongst the Florida patient community. Overall, we were pleased to see the business reaccelerate and expect further share gains to come in the fourth quarter. Despite the typical seasonal deceleration in the third quarter, our Arizona business is rapidly gaining share and extending our lead in that competitive market. According to BDSA, we gained 270 basis points of market share, and we see many opportunities to extend our top position with our suite of new product offerings. In New York, we are optimistic that we will enter the wholesale market this quarter and open our first adult use store by the end of December, while strict enforcement of the illicit market will be critical for social equity participants, hemp farmers and all other operators to fully realize the potential of this market. We are encouraged by the prospects of offering all citizens of New York high quality, safe and tested cannabis products. In Michigan, we decided to discontinue our subscale physical operations in the state given our view that market pricing pressures would continue to dilute overall margins. We're evaluating multiple opportunities to shift to a licensing model that would immediately result in improved economics and boost our AEBITDA margins, while keeping our brands on shelves for our customers to continue enjoying. The stand-up product champion during the quarter was the highly successful launch of our latest innovation Briq, a proprietary to [indiscernible]. With mounting pressures on disposable income. Briq offers tremendous value to our customers. Briq was born out of consumer research and backed by data, a process we have been implementing in all launches to ensure commercial success. Briq has been rolled out to 11 states with two more on tap and we are building on this platform. Complementing the Briq launch was the introduction of our first liquid diamond vape in Florida. This premium product which uses our proprietary water-based extraction technology, is meant for the cannabis connoisseur, and has also been very well received. We are ramping production to meet demand for both of these products as quickly as possible. I recently returned from visiting with our European team, and I'm more excited than ever about the opportunity in front of us. In the U.K., our focus has been on reducing the friction in the patient journey which can total 45 days or more. With the recent enhancements to our technology platform. We have cut the patient journey to less than 10 days, which we expect will have a direct benefit on customer loyalty, retention and lifetime value. In October, we started seeing the benefits of these process enhancements through an acceleration in patient apps not seen before. In addition, we were the first to launch edibles in the market on August 1, and have had strong customer reception since. Our marketing efforts, our building awareness not only for Curaleaf, but also for the entire industry. We are growing our share while also growing the market. In early July, we began wholesaling into Poland and demand for our 420 products has been insatiable. The strict regulations that require a 15-month lead time to register strains, we made significant first mover advantage with our high potency 420 pharma flower that we plan to leverage. While European cannabis is still in the early days of development, no competitor has our distribution platform, scale cultivation facilities, suite of branded products. Also Europe's medical orientation towards cannabis fits well with Curaleaf's roots. Knowledge that we are tapping into to create further distance between us and our competition. What's more, we continue building out the full breadth of our European supply chain to meet increasing demand for higher quality products in both large markets like the U.K., Germany and Poland, as well as smaller markets like Switzerland. For instance, we bought the EU-GMP processing assets from Clever Leaves in Portugal. We're investing in indoor grow capacity. We built-out kitchens for edibles production, and are investing in channels of distribution where it makes sense. Unequivocally Europe is a multi-year growth story for us. Overall, I'm encouraged to see that the hard work all our dedicated team members are putting into the business is yielding improving results. Like Boris said, the heavy lifting is behind us and we've turned the corner. But there are always opportunities for us to be better and do more. With the growth tailwinds of Germany, New York, Ohio, and potentially Florida and Pennsylvania, Curaleaf is incredibly well positioned for years of robust growth and market share gains. With that, I'll turn the call over to our CFO, Ed Kremer. Ed?
Ed Kremer: Thank you, Matt. Today, I'll review our third quarter 2023 results. Total revenue for the third quarter from continuing operations was 333 million, representing a year-over-year increase of 2%. The increase in revenue was primarily driven by strength in Maryland, Connecticut, New Jersey and the contribution from Tryke acquisition as well as 120% growth in our international segment partially offset by modest contraction in Florida. By channel retail revenue was 273 million compared to 258 million in the third quarter of 2022, up 6% year-over-year, wholesale revenue decreased 12% year-over-year to 59 million and represented 18% of total revenue. This decrease was in line with our expectations as we continue rationalizing our SKU portfolio and working down our inventory position. Our consumer metrics remain healthy in the third quarter as transactions were up 200 basis points sequentially from Q2, partially offset by 140 basis point decline in our average order value. Our third quarter gross profit was 150 million resulting in a 45% gross margin. Adjusted gross profit was 152 million or 46%. Sequentially Q3 adjusted gross margin increased 60 basis points compared to the second quarter due to lower discounts, partially offset by an incremental 200 basis point from under-utilization in select facilities to chart intentional actions to temporarily idle capacity and a slight decrease in vertical mix of 64%. As incremental revenue catalysts materializing in New York, New Jersey and Illinois, improved utilization of our facilities should result in recovery of lost margin over the next few quarters. SG&A expenses were 97 million in the third quarter and decreased 5 million from the year-ago period. Core SG&A was $91 million, a decrease of 4 million from the prior year. The year-over-year decrease in our core SG&A reflects continued cost controls and headcount reductions partially offset by expenses associated with the addition of Tryke, Four 20 Pharma and new store openings. SG&A as a percentage of revenue was 29% in the third quarter down 200 basis points compared to the year ago period. Our third quarter SG&A included approximately 6 million of add backs similar to last year. Our core SG&A rate in Q3 was 27%, a decrease of 200 basis points year-over-year due to a further acceleration of expense cuts we began implementing at the start of the year. Third quarter net loss from continuing operations was 71 million, net loss per share from continuing operations was $0.10. Adjusted EBITDA for the third quarter was 75 million or 23% of sales compared to 87 million or 27% of sales, a 13% decrease compared to last year. Sequentially our adjusted EBITDA margin increased by 100 basis points from Q2 due to adjusted gross margin expansion and associated expense leverage. International continued to be 150 basis points drag on our AEBITDA margins, but we expect this drag to significantly lessen as demand catalysts in Germany unfold over the coming months and we begin to leverage our cultivation and processing assets. Turning to our balance sheet and cash flow. We ended the quarter with cash and cash equivalents of 180 million. Our inventory balance at quarter end was 220 million compared to 238 million in Q2 a decrease of 18 million or 8%. We made significant progress in our inventory reduction efforts this year. And we will continue to manage our inventory balance to a 6.5 to 7 turn per year goal progressing toward our goal of reaching 50% of sales. Net capital expenditures in the quarter were 14 million. We continue to anticipate spending approximately 70 million in capital projects this year. Our outstanding notes payable was 585 million net of unamortized discounts of which 78% is not due until December 26. We ended the third quarter with 725 million fully diluted shares outstanding. We generated a total of $45 million of cash flow from operations in the third quarter, excluding a $2 million use of cash from our discontinued operations, cash flow from continuing operations was 47 million in the quarter and $94 million year-to-date. Free cash flow from continuing operations during the quarter was 33 million. With respect to guidance, we expect Q4 revenue to be up slightly, resulting in full year revenue growth of approximately 5% compared to 1.275 billion in revenue last year, which excludes all discontinued operations previously mentioned. This growth rate is the upper end of our low to mid-single digit revenue growth guidance. We still expect AEBITDA margins to come in around 23% consistent with our prior outlook. With respect to cashflow, and discontinued operations, we have disposed of or sold many of the associated assets in states in which we cease direct operations. However, some transactions have been held up by regulatory delays, and we continue paying expenses on these assets, albeit at declining levels. We therefore believe a more representative view of our cash flow generation should center our continuing operations. In this context, we expect to generate operating cash flow from continuing operations of $100 million and positive free cash flow as a result. With that, I'll turn the call back over to the operator to open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Aaron Grey with Alliance Global Partners.
Aaron Grey: So for me, I wanted to turn to international. So when I see the continued growth there up 120% year-over-year, it sounds like there's a couple of growth opportunity to continue to have there. But on the margin side, right still a drag now, you've now got the EU-GMP processing from Clever Leaves in Portugal, and vertical integration more so in Europe. So can you speak more towards, how we should think about the flow through on being vertical and the gross margin improvement. If you look at the first half of that gross margins were about 35% for the international segment. So I had to think about, the improvement in gross margins and some of those that flowing through along with the sales leverage as well? Thank you.
Boris Jordan: I'll start, and Ed, if you can address on the margin profile. So in Europe, our two main markets, as we said are the U.K. and Germany. We've just added Poland. Poland is ramping up very, very quickly. So we do expect to see further growth in the fourth quarter and the first quarter, it's a 41 million personal market. We expect margins to start to -- first of all, we expect the business to turn EBITDA positive, most likely in the fourth quarter. We also anticipate that with additional sales that we believe will happen in the first quarter with the pillar one German approval, which means basically the cannabis has been taken off the narcotics list. And therefore, we expect demand to increase substantially. We think somewhere around two to three times our current sales rate for next year on the back of that. With that obviously, as we start to lever our assets in Europe, specifically our growth and processing facilities in Portugal and Spain, we do anticipate that margins will improve throughout the year as revenue starts to accelerate in Europe.
Ed Kremer: Yes. And just to add on to what Boris said, Aaron, I think we've spent quite a bit of resources investing in our CapEx infrastructure internationally, that's still coming to fruition, those grow rooms that we own in that facility are going to continue to expand and get populated. So it's a bit of a mix of a supply flow that we're currently getting a portion of that from our external suppliers. So as that mix changes in those facilities come online, and Boris mentioned, our margin profile is going to expand substantially. But that's probably not going to happen until sometime in the middle of next year or so.
Operator: Our next question will come from Frederico Gomes with ATB Capital Markets.
Frederico Gomes: So you mentioned you were turning some of your idle capacity on and going in last year. So it can provide some color on which markets, you're turning that capacity on and how fast you think you can recover that 400 basis points hit to margins that you mentioned.
Boris Jordan: We are currently turning on Pennsylvania, we've turned on New Jersey. We have obviously with the adult us, we are turning on New York. We have added a few rooms in Pennsylvania and Arizona. So most of our facilities or some of them are being turned on 100%. Some of them are being turned on, 70% to 80%. However, one needs to understand that that planting took place at the beginning of the fourth quarter. So we don't anticipate except in Pennsylvania to see any harvest coming out of those facilities until the first quarter. So most of the margin pickup will take place as we start to harvest those rooms into the first and second quarter of next year. We'll see a little bit of pickup in Pennsylvania because those we planted a little bit earlier. But for the most part, we are starting to fully populate all of our growth facilities that were idled at the beginning of this year.
Operator: Our next question will come from Scott Fortune with ROTH MKM Capital.
Scott Fortune: Yes. Good afternoon. And thanks for the question, kind of follow-on question on kind of looking at the wholesale market for you, I assume you turning on these facilities in these wholesale markets, where we're seeing new social equity license being added in New Jersey coming on board a little bit in Illinois. And so it's just kind of step up to the wholesale market 18% of your overall revenues and the potential kind of pickup in growth there. As you look out going forward here.
Boris Jordan: We anticipate more growth and wholesale, I think, in the ensuing months than we do on retail. Obviously, with the additional product that's coming out of our facilities, and a renewed effort, which I'll add Matt address in a second, renewed effort on hiring and building up the wholesale business. We hope to bring the wholesale business, eventually back to around 30%. But I do think that that will probably take a few quarters to get it there. But we've already seen substantial gains in the fourth quarter on the wholesale side. And I think we'll continue to see it into the first and second quarter. Matt, you might want to address a little bit what we're doing on the wholesale side.
Matt Darin: Sure. Hi, Scott. Yes. So look, we're heavily prioritizing, building the wholesale channel in the next quarter, and as we lead into next year. 2023, the last few quarters, we really prioritized, moving through our inventory heavily through our vertical channels, as we've talked about on prior calls. And now, with us increasing capacity, again, continuing to launch products, and really investing heavily in sales and marketing. We brought on a new head of sales for the country, and are really investing heavily in marketing resources within each of the markets, we're seeing a lot of opportunities. And as you're seeing a lot more dispensaries finally open up in New Jersey and Illinois, in some of the other markets, these are brand new customers that are in need of wholesale product that we're building some really strong partnerships with. And that's becoming, I think, a really growing segment of our wholesale businesses, some of these independent operators that are coming new to the markets. And that's a big focus of ours. So I think we're really bullish on what we see on the wholesale side and seeing some pricing improvements as well, given some of the oversupply that's kind of worked through the market at this point.
Boris Jordan: And I would just add one more thing that obviously, we anticipate in New York being quite robust. We've already started marketing products here in advance with the wholesale launch. And we're seeing very, very robust demand for Curaleaf and Select and grassroots products in the New York market, and we anticipate many hundreds of stores opening up over the next 12 months. We think that will be very, very strong for Curaleaf from our position in there.
Operator: And our next question will come from Russell Stanley with Beacon Securities.
Russell Stanley: Just following up on the pricing environment you're seeing. I think you said 10 market showed price improvement this quarter, up from four prior quarter. And just wondering which markets have you yet to see that turn? I suspect Michigan's on the list getting your decision there. But any color on which markets you're still waiting to see firm up and what kind of line of sight you have as to when that might happen. Thank you.
Boris Jordan: Matt, you want to take that?
Matt Darin: Yes. So as you mentioned that we've seen some encouraging pricing trends in a number of markets. We mentioned 10, that were up quarter-over-quarter. The others that did not that were down, it was really more flat barely down. Couple that I would mention would be Nevada, being one, we've not seen pricing improvements happen there just yet, but it was just slightly down and Pennsylvania as well. Pennsylvania, again, nominally down, but we had not seen, some of the growth that we've seen starting to take place in some of these other markets. So I think, but overall, it's an encouraging story that we're seeing in general across the country on the pricing side compared to earlier in the year.
Operator: [Technical Difficulty] You may now go ahead.
UnidentifiedAnalyst: I'm just wondering if we can get your view on what happened in Ohio. And it seems like, it's a state that sort of a weird dynamic where you have actual local politicians and the governor, are not overly supportive of the initiative. Is there any sort of benchmark or any sort of expectation of what we should be looking forward next to get an idea of if they're going to actually start regulating this or is this something that you'll sort of believe it when you see it, obviously, very positive headline by getting a lot of inbounds on the actual prospects of Ohio rolling out anytime soon.
Boris Jordan: So I think that we have to take a look and see it was a very strong showing at 57%. It's going to be very difficult, in my opinion for the governor and the legislature to try and roll that back. They also have some time limits, according to the legislation that they have to. So they have to start issuing licenses, I believe in nine months for adult use. Now, listen, they can try to hold, they can try to slow it down, they can try to put all sorts of sticks and spokes, but I think at the end of the day, the voters in Ohio have supported this wholeheartedly with a 57 very robust votes about the same as the abortion vote. And I don't think you're going to see them rolling back on the abortion side either. And so I think that going into a national election year like next year, cannabis is becoming a bigger issue. And I think the Biden administration and the Democrats and a lot of the Republicans, including Sherrod Brown, who is running for re-election in Ohio, have seen that cannabis is actually a popular subject. If you took a look at the demographics that voted for cannabis, it's the fastest growing demographic in the country, which is the young population. And all the way through the population in their 50s all voted for legalization of cannabis. So I think it would be almost suicide for the Republicans to try and stop the program. I think they would get literally annihilated in the national elections in 2024. So listen, I don't expect that absolutely smooth. None of these regulators have ever been completely smooth in launching these programs. But I do think that the program will get launched within next year.
Operator: Our next question will come from Pablo Zuanic with Zuanic & Associates.
PabloZuanic: Boris, I want to ask a question regarding, how you see rescaling playing out. So initially, the idea was the industry including yourselves, were working in a very collaborative way with the executive branch, HHS made a recommendation we're hoping to get an answer from the DEA. And then, supposedly DOJ made announcement and you the industry, we're also working with the DOJ in terms of coming out with a new governor memo that would protect the state level programs, right. So all that sounded great. But now you have, companies apparently saying they want to stop paying 280E tax, they are asking for refunds. Other companies, initiating a lawsuit against the DOJ, on what we would call a similar subject. I'm just wondering if there's a risk here of overreach and that would backfire in terms of how the executive branch was thinking about working with the industry.
Boris Jordan: Listen, I think I can't speak for what my competitors are doing in terms of paying, I can only say that Curaleaf will continues to pay its taxes. And we will continue to pay our 280E, as we have not -- we are obviously looking at the decisions made by some of our competitors and not paying the taxes. And we're certainly talking to our advisors about that. But at the moment, Curaleaf has not changed his stance on the fact that we feel that we have to pay our taxes. In terms of cooperation with the state, I continue to be a strong believer that we're going to get a rescheduling sooner rather than later. There's all sorts of incentives and reasons why the Biden administration wants to do this. And I think that we're going to see it pretty, pretty soon. So I'm continuing to be quite positive on rescheduling of 280E. I also have to say that I'm reasonably positive on safe making it into one of the major bills that's going to get approved at the end of the year, we've seen heightened activity in the last couple of days, obviously, the last month has been a major disappointment largely driven by a global geopolitical situation as well as, as the chaos that took place in the House of Representatives. But now that we have a house speaker, we have Schumer, and I think the Ohio vote, underscored the popularity of what we're seeing. And so I think that we're going to see, we may even see safe banking this year. So all in all, I continue to be cautiously optimistic but positive, that we're going to get some major pieces of federal legislation. But again, I want to reiterate, we're not waiting for it in terms of managing our business. We're focused on making sure our business is well run and is well run within the current framework that we have. And we have probably in the last year never felt better about the way we're going to enter into 2024, meaningly, we've cut an enormous amount of costs. We've got rid of all of the businesses that were not contributing to the bottom line, and I think that we're going to see fairly robust growth and given New York and Germany and other markets. But also we're going to see, I think, some expansion of our margins going back, as I said in my previous statements to the 50 plus percent gross margin, and then subsequent expansion of EBITDA margins as well. So we feel very positive. And if we can get federal legislation that's just icing on the cake.
Operator: [Operator Instructions] Our next question will come from Eric Des Lauriers with Craig-Hallam Capital Group.
Eric Des Lauriers: Thank you for taking my question. Kind of a high-level strategy one for me. So certainly think exiting some of those unprofitable States makes sense as you look to optimize cash flow. My question is, should we expect M&A to remain at all part of the Curaleaf go forward strategy here? If so, sort of how might that fit in? Would that be sort of international only kind of just talking within certain states? I guess just an update on your thinking on M&A will be great. Thanks.
Boris Jordan: Listen, we are going to be very opportunistic with M&A. We're looking at adding some stores in different places where we can, yes, we are looking at potentially adding a distributor in Poland. So we can have our own distribution there. But these are small, minor acquisitions nothing meaningful at this point, given, one, the cost of capital, two, where our stock is, we don't want to take any dilution at this point in time. And we really want to focus on optimizing and getting our margins back to where they were last year. As I said, at the 50 plus percent, the gross margin and closer to 30% on the EBITDA margin. And that's really the focus of Curaleaf right now. And I think that we're going to do that over the next couple of quarters going into next year. And acquisitions will be incredibly focused, and ones that are accretive and bring in, revenue almost immediately and so we're not looking at doing anything major at this point in time.
Operator: This concludes our question-and-answer session. I would like to turn the call back over to Matt Darin for any closing remarks.
Matt Darin: Thanks, everyone, for joining us for our call. Have a safe and happy holidays and we'll look forward to speaking to you next year.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.